Operator: Good day, everyone and welcome to the Moelis & Company Second Quarter 2017 Earnings Conference Call and Webcast. [Operator Instructions]. And please do note that the event is being recorded. I would now like to turn the conference over to Ms. Michele Miyakawa, Head of Investor Relations. Please go ahead.
Michele Miyakawa: Great. Thank you and good afternoon. Thank you for joining us for Moelis & Company's Second Quarter 2017 Financial Results Conference Call. On the phone today are Ken Moelis, Chairman and CEO; and Joe Simon, Chief Financial Officer. Before we begin, I'd like to note that the remarks made on this call may contain certain forward-looking statements, including regarding future performance which are subject to various risks and uncertainties, including those identified from time to time in the Risk Factors section of Moelis & Company's filings with the SEC. Actual results could differ materially from those currently anticipated. The firm undertakes no obligation to update any forward-looking statements. Our comments today include references to certain adjusted or non-GAAP financial measures. We believe these measures, when presented together with comparable GAAP measures, are useful to investors to compare results across several periods and to better understand our operating results. The reconciliation of these adjusted financial measures with the relevant GAAP financial information and other information required by Reg G is provided in the firm's earnings release which can be found on our Investor Relations website at investors.moelis.com. I'll now turn the call over to Joe.
Joseph Simon: Thanks, Michele and good afternoon, everyone. On today's call, I will discuss our results and then Ken will provide his views on the market environment and our outlook. I'm pleased report that we achieved our strongest second quarter of revenues to date of $172 million, up 31% from the prior year quarter. Our performance compares favorably to the overall M&A market, in which the number of global M&A completions greater than $100 million was down 3% from the prior year quarter. For the first half, our revenues were $345 million, up 34% from the first half last year. Consistent with last quarter, our revenue growth was widespread across products and sectors. In particular, we saw strong year-over-year growth in M&A and large complex advisory assignments where we continue to gain share. Our M&A activity was up both sequentially and year-over-year and we earned higher average fees on larger transaction completions in both the second quarter and first half. Restructuring activity also grew year-over-year as we completed a greater number of both in-court and out-of-court transactions for clients and earned higher average fees on these completions. Sequentially, restructuring activity was down with fewer completions than in the first quarter. As we noted on our last call, we expect restructuring activity to be a steady contributor. Overall, we advised a greater number of clients in the first half of 2017, including a greater number of clients who paid fees over $1 million and we completed a larger number of transactions over the prior year period. We're encouraged by our strong business momentum. Moving to expenses. Our adjusted comp expense ratio of 58% for the quarter and first half is in line with our target as well as with prior periods. Our noncomp ratio decreased from 17.4% to 16.6% in the second quarter and from 17.7% to 16.5% for the first half driven by higher revenues. For the second quarter, we reported $28.6 million of noncomp expenses. The increase in absolute dollars was largely attributable to new business development and transaction-related charges. We continue to target a non-comp expense ratio of 15% to 18%. As a result of the IPO of our Australia business, we recognized a gain of $15.2 million on the dilution of our ownership interest. In June, the Australia business issued a limited number of shares in connection with a small acquisition which resulted in an additional gain of $2.3 million. These gains are noncash and are reported within other income. We currently hold $50 million -- 50 million shares of the listed security which translates to approximately $2.60 per fully diluted share of MC Moelis. Our corporate effective tax rate declined to 32.2% from 39.5% for the first half. This includes the impact of an excess tax benefit related to an April vesting event. The contribution of this tax benefit to EPS this quarter was approximately $0.08. Given the timing of our vesting events, we do not anticipate similar tax benefits in the second half of the year. Excluding the impact of this discrete benefit, our effective tax rate would have been 38.9% for the first half. As a reminder, our adjusted presentation assumes that all partnership units have been converted to shares so that all of the firm's income is taxed as if it were subject to the corporate effective rate. Finally, our board declared a quarterly dividend of $0.37 per share, consistent with last quarter, to be paid on August 17 to shareholders of record as of August 3. We ended the quarter with a strong financial position with no debt and $258 million of cash and liquid investments which was measured prior to the $1 per share special dividend we paid on July 6. I'll now turn the call over to Ken.
Kenneth Moelis: Thanks, Joe and hello, everyone. As Joe discussed, we achieved another quarter of record revenues as we continue to see strength in all product areas with particularly strong growth in M&A this quarter. I'd like to touch further on our revenue growth and where we see opportunity going forward. Our strategy of covering a diverse set of clients continues to pay off. As our global network comes together, we're not only advising on the assignments you can see in the public domain, but we're also delivering significant resources in large complex situations and with complete discretion. These situations include boardroom assignments in defense and activism and other large strategic advisory engagements. Our ability to solve issues quietly and to make it difficult to track our activity level -- may make it difficult to attract -- to track our activity levels, but it is an extremely valuable asset for our clients and we're developing deep, long term, trusted relationships. Our approach to client coverage and our increasing momentum also helps us attract high-quality, like-minded talent, those who value a collaborative model and are committed to building an enduring franchise based on long term client relationships. Earlier this month, we announced a veteran Managing Director hire in our London office to help build our European Private Funds Advisory business and in the first half of this year, we advised 8 private funds clients. This hire will continue to accelerate our growth in the business, particularly outside the U.S. We started the year with a focus on enhancing our technology expertise. In addition to hiring a senior software banker who we announced in April, this morning we announced the hiring of 2 veteran Managing Directors in the highly active industrial tech and FinTech sectors. These senior hires are a compelling addition to our global network. They will help industrial and financial services clients address the impacts of technology on their evolving businesses which we believe to be an important trend. With such change, we expect continued M&A and restructuring activity. Excluding these hot new hires, we ended the quarter with 111 Managing Directors. Year-to-date, we have internally promoted 8 Managing Directors and hired 4 from outside. The power of collaboration creates a network effect that multiplies the value of each new hire and accelerates the growth of our franchise. In terms of our business. When I look at our activity levels and the high quality of talent we're promoting from within and adding externally, I'm excited about our franchise, the resonance of our brand globally and our continuing growth. With that, we'll now welcome any questions.
Operator: [Operator Instructions]. And our first questioner is going to be Ken Worthington with JPMorgan.
Kenneth Worthington: So Ken, first to follow up on your comments. It seems like Moelis is finding its way into more million-dollar assignments more often. You mentioned bigger deals, more complex transactions. Can you give us some color into what sort of -- how you're able to drive that -- the position in higher-fee deals with higher-fee clients?
Kenneth Moelis: Well, I think it's the same thing, Ken, that we've been doing, but now we've been doing it for 10 years. I think we tried to tell a story early on in our IPO that we were hiring a different kind of managing director earlier in their career who really wanted to combine on a collaborative team effort and cover complex situations which require teams very different than a -- I'll call it a peak higher, somebody late in their career who only wants to cover their existing account. And now we've been doing it for 10 years and we've been doing it globally for 6 or 7 as we expanded around the world and it's very effective. We put 5 or 6 Managing Directors in a room and we cover those clients in ways that I think others don't and it's effective. And so we're bringing -- brought in more and more to some very large complex assignments that require confidentiality, I think that's a way we compete against the big firms and long term commitment to the resources and the senior resources and the multiple senior resources required to cover these complex assignments over long periods of time. And it's no magic formula, but it takes commitment.
Kenneth Worthington: Okay. And it's working, right? And then just secondly, another strong quarter. You're doing special dividends, you're returning more money to us as investors. Maybe talk about the thought about increasing the pace of investment in the business. Now obviously, you just announced that you've hired 3, so we're seeing that. But talk about the pace. Is it something that you will use the windfall from how good the business is performing right now to increase the pace in -- of investment in the business? And if that seems to be attractive to you, maybe give us some color on what opportunities you see, either by sector, by region or by business, like just a little more color into maybe where you would see the opportunities to further invest if that's really what you'd like to do.
Kenneth Moelis: The answer is yes, yes and yes. So let me start by saying -- but there's a couple of sectors that are high on our list to invest in, health care, things we'd like to do more in energy. But look, Ken, I'd say, based on our current level of activity, it would be hard for me to find a sector or area that I would not hire and invest in and that's in all levels of the firm, junior right up to Managing Director. So I'm not holding back. It's just that you got to find the right people in the right spot, in the right region who really want to participate in the collaborative environment that we're putting together. If we find that person, believe me -- and if you have any names, email them to us. We're very interested in growing and we don't see it as a windfall. We see the result of -- the cash flow that we generate is a result of being disciplined and making sure those people are the people you -- that fit in. And also, the 8 internal promotes. Don't forget, if we can continue on a pace at/or near there, that is a significant way to build the business and it's the best way to build the business.
Operator: And the next questioner is going to be Devin Ryan with JMP Securities.
Devin Ryan: Just a couple here. I guess, first, activism defense. You mentioned that as kind of one area that contributed and I know sometimes we can't follow that particularly from the outside as well. So I'm just curious, in that business specifically, how should we think about the fees there? Are they attractive fees on their own or is it more of a lead in to other types of bigger deals over time? How should we think about that business?
Kenneth Moelis: Some of both. And I don't want to -- look, we're talking about highly discrete assignments that are hard to characterize as commodities. Some of the things that I've been talking about are unique, they're complex, as I said. They're hard to categorize. I don't want to generalize on the assignments, but what I think we've been able to do on a couple of situations is quietly go in. And I think that some of the activism in the world today, some of the actions beget their own reactions. And we're believers that sometimes quietly getting into companies and talking about strategies and doing these things, we think are more effective and we think we've been very effective at it quietly, I'd say. But I think all I'm saying on the fees, it's very hard. It's -- they're not cookie cutter assignments and I just -- I don't want to try to generalize a specific fee method.
Devin Ryan: Yes, understood. No, that's helpful. I think, last quarter, you spoke about the restructuring business and maybe seeing, in terms of new announcements, of tapering a bit, but still feeling pretty constructive around the opportunity there. And so obviously, it's still contributing nicely to results and then that might be one area that can be a little bit difficult to track as well. So I'm just curious kind of for the current update. You're realizing your prior business, but how has new business been? How much is new business offsetting stuff that's going out the door?
Kenneth Moelis: It's been fairly constant percentage of our business. I would say I wouldn't look to restructuring as anything that was exceptionally good or bad this quarter. It was kind of -- it's okay. I think there was a big wrap-up to the first energy shock that happened in the fourth and the first. So the second, I think, was not -- just didn't have as many energy closings, but I think our new assignment rate and our advisory rate, I think, we tell you it's 20% to 25% of our business, it's -- and we've been saying it's the low end of that and it's kind of about where we'd expect it to run.
Devin Ryan: Got it. Okay, helpful. And then with respect to noncomp expenses, maybe for Joe. I know that it's probably better to look at it as a percentage of revenues and you've been running at a really good level there. Last quarter, I think we spoke about $26 million to $27 million is kind of a dollar amount that might be a decent range. We've been a little bit above that, but obviously you've had a couple of great revenue quarter. So I'm just curious if there is any timing in there or maybe just because of revenue backdrop's been a little bit better, we should expect the range could be a little bit higher going forward.
Joseph Simon: Yes, I'd say the underlying run rate is around $27 million, maybe a little higher. But the reason we're higher this quarter and last is really largely due to spend that's not captured in the run rate. Those are the expenses related to transactions. So you'll have finder fees or co-advisory fees or other types of transaction fees that ultimately get captured in noncomp that are ultimately are above and beyond the run rate.
Devin Ryan: Got it, okay. And then just last one here. With respect to the special dividend, could you just -- quickly just talk about the default process around declaring it now versus maybe waiting and assessing kind of where cash positions and capital is -- and excess capital is at year-end? I mean, is it just because of the special event of the gain and so this is really truly kind of a onetime type of situation? Or as you're always evaluating your capital position and as cash builds, like, we can actually think about it being -- these specials could come at any time, really, depending on how you feel at that time?
Kenneth Moelis: Look, we've said we're going to return capital to our investors. We don't need a lot of capital to run the business. We looked around a month ago and we had a lot of excess capital, some of it -- there were some -- we had 2 good quarters going. We had the Australian dividend excess capital. We had just good tax position too at the beginning because of those tax events. And we just looked at it and said the capital's better in your hands than our hands. We sort of hold it in treasury bills. We don't think that's the rate of return of most of our shareholders. And we felt very comfortable that we had access capital to give back and we said, we might as well give it back to them. Why hold it for another 6 or 7 months? And that was our whole thought process, was better in the hands of our investors than our hands.
Operator: And our next questioner today is going to be Ann Dai with KBW.
Yian Dai: Ken, I'm wondering, around the political environment, if you're finding that the longer that some of these items drag on, if some of your clients are looking to put a further discount on those items being able to pass through Congress to the point where they kind of say, "Well, it's a longer time frame that we had expected and maybe we'll just move forward with our decisions and stop waiting for potential resolution." Do you think there's a point at which that happens for some of your clients?
Kenneth Moelis: My theory is on some of the very large transactions around -- that had to do especially with taxation, there's a hold waiting to see what happens with tax. I think there were some industries that felt like the U.S. tax rate was not competitive and they were looking to do inversions for a few years. I think there's a feeling now and a hope that's worth waiting for. It's sizable enough that we may solve our own tax problem. So not to do an unnatural act here while waiting to see what happens. Look, if that goes on another year, maybe they will run out of patience. But I think, for the time being, there is a feeling that, that particular problem might get solved. I think everything below that, I don't see a lot of waiting. We see companies strategically and financially moving ahead with their plans and not waiting for resolution of any of the agenda. I think the handicapping of this is, from here going forward, there'll probably be less regulation, lower taxes, less mandates on companies. So I think, from here, they don't expect it to get worse, so they are going to go implement their plans other than the one thing that I think is -- just a very big event would be to try to change your venue for global taxation.
Yian Dai: Okay, that's good color. My other question is around retail. Obviously, there continue to be a lot of headlines around the sector. And I guess, from your perspective, I guess I'm wondering whether you're expecting to see more of an acceleration in M&A or restructuring in that area or whether you can have both coexist.
Kenneth Moelis: You probably could have both coexist. I think there's a fundamental need to rationalize. People want to get larger to fight online and to fight Amazon and retail specifically. And there'll be restructurings as well. Now the last time I was asked this, this would retail step in for energy? And the answer is I don't believe it's going to be as big an opportunity as energy. Energy was a very, very large user of capital in the leverage world. So I think retail will undergo both, but I don't think it's worth -- I don't think it'll be so large that it'll step in and replace things like energy in the restructuring world. But it will be -- yes, there's a lot of restructuring going on in the retail business, but a lot of those are smaller companies who are just kind of closing stores and shutting down, in some cases. So yes, I do think you'll see some of both.
Operator: And our next questioner today is going to be Conor Fitzgerald with Goldman Sachs.
Conor Fitzgerald: Ken, maybe just a question on what you're seeing in Europe and the outlook for M&A there. We've had a lot of positive economic data points there recently and then your conversation with management, just curious on how these positive economic data points are being weighed versus some of the overhangs you still have, from Brexit to the German elections, et cetera?
Kenneth Moelis: Yes, I'm sensing a bit of an upturn in European business. I think some of it's, us, doing better as a group. So I always like when you guys ask us these questions, we only have -- we have a small portal into it. But we do -- we feel like the general market is getting more upbeat on doing things and we feel like we're having a better year and have organized Europe and feel much better about our activity there. So yes, I think it's steady -- I wouldn't expect a spike, but I think -- I feel like there'll be a steady improvement in European corporate activity. And yes, the corporates, well, I think the corporates are facing the same thing they've been facing for a long time which is low growth but low interest rates, higher asset values, high stock prices and extraordinarily low volatility and that's a good time for transactions. The volatility -- if you think about trying to put 2 stocks together in a transaction, low volatility is a big asset. You can get a good bead on what your relative values are versus high volatility times. And I think that's undertalked about as a protagonist in the M&A environment.
Conor Fitzgerald: That's helpful. And then maybe just one on the hiring front. You've got a couple of successes year-to-date, obviously. Just curious, when you're competing for new talent or maybe to retain the talent you already have, are you competing with nonpublic independent advisory firms more so than you were, say, a year or 2 ago? And just curious how you found being public company there in terms of is it a competitive advantage or disadvantage?
Kenneth Moelis: No, I don't think we compete much with private market advisory shops. The only thing I'd be wary of, large banks that have completed their recapitalization and raised money in -- I said those -- after you've done your rights offer, you tend to become very more aggressive and want to show you're back in business. So other than -- I think that's where we see the most competitive environment now.
Conor Fitzgerald: And then just one housekeeping one for Joe. Just the loss on -- from other equity method investments, sorry if I missed that, but what drove that this quarter?
Joseph Simon: That was related to a GAAP-only charge. So Australia has different accounting and it related to a revenue share contract that took place contemporaneous with the IPO. And so that basically hit that line item rather than other income.
Operator: And our next questioner today is going to be Michael Needham with Bank of America.
Michael Needham: This is Mike Needham from Bank of America. So first is on the...
Kenneth Moelis: Maybe we hired somebody else.
Michael Needham: That's right. Full disclosure. The -- so first just on the pipeline. For M&A work, from what I can see, it looks like the pipeline is still pretty good despite you guys putting up a few strong quarters. Can you help us understand just how active your bankers are now compared to the last couple of years?
Kenneth Moelis: It's very active. I would say we feel like we're -- activity levels are high, let's put it that way. As I said, I think I said it when I said we would hire in most regions quality people and that's at all levels, middle level, Managing Director. Our regions are active. Our sectors are active and we feel like it's building on itself, that people like the -- they like what we're delivering to them and we're doing -- we're growing by the best way possible in our business and that's word-of-mouth.
Michael Needham: Got it. Okay. And then just one on employees and growth. This year, you've made 8 promotions. You’ve hired a few, maybe a couple more. It's a going to be a bigger year for, I guess, gross adds. On the promotions, do you set the same level of -- the bar at the same level of productivity for internal promotes versus new hires? And then, I guess just specifically on the 2 FinTech guys. Is that part of a -- or FinTech and industrial tech, is that part of a bigger theme to hire in disruptive sectors?
Kenneth Moelis: Yes, so I'll take the second part first. Yes, we think that it's very important. FinTech's been a part of the world we wanted to have been in for a long time. It's very active and there's a lot of companies in it. And then, industrial tech, it's just we feel like the call on what used to be general industrial now requires -- and people want to speak about software and technology and how it affects them. So every industrial conversation requires a technology conversation and we want to make sure we're leading with that. So yes, that is strategic on what the disruption would be. On your first question, I was going to ask you what it was but I remembered. Yes, look, I've been trying to fight this, from the time we went public, this terrible idea that there's such a metric called revenue per MD that means much. We would much rather promote a young Managing Director with a low level of first-year revenues and a high level of growth and future and expertise in 20 years to 10 years, whatever you want to say. That's what's happening to our revenue base. If you don't -- if you're looking at our revenue base and not quite getting it, it is our internal promote coming up the curve on maturity. And what we don't want to do is hire what I call peak talent, peak price at peak level. My age, I'm going to -- I could pick on myself, I guess, because I can't see myself for being 59. But there is a moment where you're paying for peak and you're not going to get the growth. So we look at it very different. And yes, our internal promotes are a very different decision than our external hires.
Operator: And our next questioner today is Jim Mitchell with Buckingham Research.
James Mitchell: Just one question maybe on the expense side. Given the strong start to the year and your comments on strong momentum, does that start to give you kind of wiggle room on the comp ratio or do we still think targeting 58%? Or can we see margins expand a little bit more given the strong revenue environment?
Joseph Simon: Yes, I think that for the next couple of years, given the change that we made about 1.5 years ago on divesting, that we're -- 58% is how you should think about comp.
James Mitchell: Okay. So even if revenue is 50% growth, it will still be 58%?
Joseph Simon: Well, in those -- in an outlier, we may take it under consideration, but I think, in reality...
Kenneth Moelis: Well, what Joe's referring to is we have an overlap as we changed our vesting schedule, so it's hard to go -- even apples-to-apples, if we keep it at 58%, you are seeing some of the benefit in the GAAP number.
James Mitchell: Right, right, because the amortization is increasing. I got it. Okay, that's all for me.
Operator: [Operator Instructions]. And our next questioner is going to be Betsy Graseck with Morgan Stanley.
Betsy Graseck: Ken, I just wanted to touch base on a couple of things. One was the driver of M&A in the past. I think you've talked about expense in a slow growth world, expense management, driver of M&A. My question is, is that still the majority or is there anything else going on? Is there any credence to M&A occurring for customer acquisition, M&A occurring for technology acquisition that's increasing as a percentage of total? Or is expense management really the biggest driver here?
Kenneth Moelis: That's a good question. Sure, there's M&A for all those reasons. I don't want to characterize everybody. But I do think synergies and getting larger and synergizing expense is still a priority, whether it's a majority or just a plurality, it's a big reason. I think you touched on technology and I do think technology is driving some of this, but it's more of a positioning yourself. I think if you really get behind a lot of the media, the TMT deals and that includes media, it's sort of finding your place in the distribution channel and how you're going to create content -- so a lot of that, I think, is technology-driven, not cost-driven. It's where do I fit and do I have the right tools to go up in a world that's changing dramatically? So I'd say the 2 are basic cost synergies. And then a lot of it now, I think, is do I have the right technology? Am I in the right place to service my accounts? I think that's driving a lot now as well, trying to get ahead of the technology curve.
Betsy Graseck: Okay. And then just secondly on the efforts that you've had underway in Asia. What does -- the recent China kind of secession or crackdown on some of the overseas acquisitions, what did that do for you and your franchises? Are there ways that you can be nimble to flex your business model to maybe internal within China?
Kenneth Moelis: Look, it's changed. There definitely is a crackdown on capital coming out of China and the amount of deals. We have a good -- great team in China, but it's small. And no, you can't really change it to a China, China M&A. It's not going to stand in for the -- it won't do enough. I think what we do in China -- look, this is what's good about being a small operation with not a lot of sales and trading and all of the overhead of that. We'll continue to call on the clients there. We look at China as a generational calling effort. And so if other people slow down and pull out or whatever they're going to do, we'll stay in there and look at it as a way to build relationships over a long period of time. But it's definitely been a great year in China M&A. China outbound M&A last year and it definitely is not the same this year. Hard to plan on getting a deal done this year.
Operator: And our next questioner today is Jeff Harte with Sandler O'Neill.
Jeffery Harte: Just a couple of cleanups. I mean, most questions have been asked. When I look at the cash and liquid investments adjusted for the special dividend, I mean, you're still north of $200 million which is, for a second quarter, pretty historically high for you guys. I guess my just kind of 2 questions here. One, that makes me look and say another special dividend this year would seem likely just because of the amount of cash sitting there. But the second part of it kind of gets to the revenue outlook and how strong the first half ended up being versus what -- certainly, it's stronger than what we were looking for on the outside. Are we potentially not to expect as strong a second half in revenues? And maybe that kind of helps to use some of that cash as opposed to building maybe on the second half like it historically has?
Joseph Simon: So I can hit your first question which is $200 million excess cash. It's -- there's a -- there's certainly the opportunity for a special, but I don't know that it's part of the $200 million. The $200 million is a combination of earmarked cash for bonuses, taxes as well as the minimum capital that we put to the side. So I think that given our strong revenues together with -- that cash ultimately reflects that strong first half and ultimately has a bonus and tax component that maybe isn't completely obvious.
Kenneth Moelis: Well and to say if we continue on the way we're going -- I think what Joe's saying, if we have a second half, he -- we -- Joe, the year's not going to end on June 30, either. So the -- just the answer is yes to your question about, we have to discuss it with our board, but if things continue to go the way we think they're going, of course, we think there's a possibility. But I mean, it's subject to all the approvals and discussion with our board of another dividend. The -- and I don't think, look, there's been -- we don't think the first half has taken anything from the second half in terms of acceleration of the revenue stream. We feel like activity level is high. It's been high for 3 straight record quarters. And if anything, we feel like our activity level, that's not a revenue prediction, but our activity level, if anything, is higher today than it's been. And it's -- so we're not trying -- we're -- again, I don't want to send any -- we're not talking about the second half of the year, but we're busy.
Jeffery Harte: Okay. And secondly, on the noncomp. I mean, we're running at the $28 million-plus. I mean, I guess, I've been thinking of noncomp as a dollar amount and maybe watching headcounts recently. But a quarter like this makes me think that maybe the noncomp ratio, with it being somewhat more variable of a total line item is the right way to think about it, should we be looking more at the comp ratio we're targeting going forward as opposed to dollar amounts? Maybe that makes more sense?
Joseph Simon: I do. I've always thought that looking at pretax margin is kind of the overall target that we have for the business and we obviously disaggregated between comp and noncomp based on just comparatives.
Kenneth Moelis: Yes, it's more of a fixed cost on the noncomp, dollar price. But some of that -- there's some of that in there is activity level like there's more professional fees, things of that nature that are -- but think of it as a dollar.
Joseph Simon: Yes.
Jeffery Harte: Okay. Because it -- so think of it more as a dollar amount as opposed to a comp -- as a noncomp ratio kind of when we're modeling going forward. Is that -- I'm sorry is that what I -- I guess I'm not sure if I heard the answer correctly.
Joseph Simon: The way I think about it is there's an underlying run rate of what I've described before on the order of $27 million-plus on a quarterly basis and then there is some wobble around that based on sometimes transaction-related stuff that could push it a little higher and that's what we've experienced in the first 2 quarters.
Operator: Ladies and gentlemen, this will conclude the question-and-answer session. I would now like to turn the conference back over to Ken Moelis for his closing remarks.
Kenneth Moelis: All right. Thank you for your time this afternoon and we look forward to speaking with you all soon. Appreciate your time.
Operator: And the conference has now concluded. Thank you all for attending today's presentation. You may now disconnect your lines.